Goh Lilian: Good morning, everyone. Thank you for joining us today for Keppel REIT's Full Year 2025 Results Analyst Briefing. I'm Lilian from the Investor Relations team. Before we begin, let me introduce the management team on this session. We have Mr. Chua Hsien Yang, Chief Executive Officer; Mr. Sebastian Song, Chief Financial Officer; Ms. Teo Xuan Lin, Head of Investment; and Mr. Jason Chua, Director of Asset Management. We will start with the briefing with a presentation by the management team, followed by a question-and-answer session. I will now hand over the time to the CEO, Hsien Yang.
Hsien Yang Chua: Thank you, Lilian. Good morning, everyone. Thank you so much for joining us today. We'll begin with an overall overview of 2025 and also our focus for 2026. In the fourth quarter of 2025, we completed 2 strategic acquisitions in December last year, namely a 75% interest in Top Ryde City, which is a regional mall in Sydney and an additional 1/3 interest in MBFC Tower 3 in Singapore. Top Ryde City is our first pure-play retail asset and diversification into retail, enhancing our income resilience, allowing us to benefit from the resilient suburban retail segment, which has strong growth potential supported by long-term consumption growth and population increase. MBFC Tower 3 was a right opportunity that allowed us to deepen our ownership in Singapore's core CBD. It is the best asset in the best location and is a property that we know well. Backed by the strong office market fundamentals in Singapore, we believe that it was the right move to increase our stake in MBFC Tower 3. As the acquisitions were completed late last year on 19th and 31st of December, we will see the full contribution from these properties starting from 2026. Operationally, we ended 2025 with a strong set of results, recording year-on-year increases in NPI and portfolio occupancy. I will elaborate further on the 2025 performance in the next few slides. For 2026, we will continue driving organic growth within the enlarged portfolio through both rental growth and proactive cost management. We've already begun to see the impact of lower interest rates on our borrowing costs in the second half of 2025. In 2026, we will continue to monitor the interest rate environment closely and to the extent possible, continue to bring down our borrowing costs. Here are some of our focus areas for the year ahead. Moving on to our full year 2025 key highlights on Slide 4. NPI rose 6.9% year-on-year, driven mainly by contributions from 255 George Street asset, which we acquired in 2024 and higher occupancy at 2 Blue Street. Share of results of associates and joint ventures increased 13.3% year-on-year, supported by the continued demand for Singapore prime office space and lower borrowing costs. DI from operations, assuming management fees were paid entirely in units would have increased 6.3% year-on-year. As at 31st of December last year, our leverage stood at 47.9% due to the transitory impact of the equity bridge loans or the EBR obtained to fund the MBFC Tower 3 acquisition. Had the proceeds from the pref offering been received on 31st of December and were used to fund the acquisition, our leverage would have been 40.4%. We have since completed the pref offering and the equity bridge loans were paid full -- are repaid in full on the 20th of January 2026. The weighted average cost of debt was 3.41% per annum. Total borrowings on fixed rate is 53% and excluding the impact of the equity bridge loan, it would be 62%. Our Singapore portfolio continues to be a key contributor to our overall performance, supported by positive rental reversions and lower interest rates. As at 31st of December, on a portfolio basis, our committed occupancy improved to 96.7%, and we achieved a robust rental reversion of 11.5% for the full year with the Singapore portfolio recording 10.7%. The portfolio's weighted average lease expiry remained long at 4.4 years, while the WALE of our top 10 tenants was 8.1 years, reinforcing our income visibility. Through proactive leasing efforts, we had over 1.7 million square feet of leases committed in 2025. I will let Sebastian take you through the key financial highlights.
Sebastian Song: Thank you, Hsien Yang. For the second half of 2025, we see continued strong performance. Property income, NPI as well as share of results of associates and joint ventures have all increased due mainly to higher occupancy at 2 Blue Street and higher contributions from our Singapore assets. Also contributing to the strong performance was lower borrowing costs, largely due to tapering interest rates. Looking at our full year performance. Property income and NPI increased 4.9% and 6.9% year-on-year, respectively, mainly due to contributions from 255 George Street and higher occupancy at 2 Blue Street. Share of results of associates and joint ventures increased 13.3% year-on-year on the back of better performance from our Singapore assets and lower borrowing costs. Borrowing costs increased 2% year-on-year due mainly to higher loan principal in 2025 as compared to 2024. DI from operations decreased 1.1% year-on-year to $192.4 million, mainly due to the payment of 25% of management fees in cash. Assuming management fees were paid entirely in units, DI from operations would have increased 6.3% year-on-year. Moving to Slide 9. DPU for the full year 2025 is $0.0523. DPU for the first half of 2025 was $0.0272 and was paid on the 15th of September. An advanced distribution of $0.0163 was announced for the period 1st July to 16th of October, pursuant to the private placement launched in October. This was paid on the 25th of November. For the remainder of the second half of 2025, being the period from 17th October to 31 December 2025, a DPU of $0.0088 will be paid on the 25th of March 2026. DUI for the distribution period of 17 October to 31st December is attributable to both the units issued at 31 December 2025 as well as the new units issued on 19th January 2026 pursuant to the preferential offering launched in December 2025. The enlarged unit base attributable to both the private placement and preferential offering exercises. Coupled with the absence of contributions from these 2 acquisitions, which were completed in the later half of December, led to a lower DPU for the short-term distribution period of 17 October to 31st December. Full contributions from these acquisitions will be recorded from 2026. On Slide 10, the increase in deposited property, total assets, borrowings and total liabilities is due mainly to the acquisition of 75% interest in Top Ryde City Shopping Centre and the additional 1/3 interest in MBFC Tower 3. Adjusted net asset value per unit as at 31st December 2025 is $1.27. Slide 11 outlines our key capital management metrics. Weighted average cost of debt for the full year of 2025 was 3.41% per annum. Interest rates, particularly the SORA had eased substantially in 2025 from the peak in 2023 and 2024. In 2025, we had also achieved favorable savings on low margins during the cost of refinancing. Riding on this momentum, we will continue to seek optimal outcomes for our refinancing activities in 2026 and achieved cost of debt for 2026 to be between low 3% and 3.3%. Aggregate leverage was 47.9%. If proceeds from the preferential offering were received on the 31st of December and used to repay the equity bridge loans, aggregate leverage would have been 40.4%. Fixed rate borrowings and sustainability-focused funding account for 53% and 67% of our total debt portfolio, respectively. The proceeds from the preferential offering were used to repay the equity bridge loans on 31st December. Fixed rate borrowings would have been 62% and sustainability-focused funding would have been 79%, which is above our target of 75%. Interest coverage ratio remained at 2.6x. Moving on to Slide 12. We're in various stages for the refinancing of loans maturing in the first half of 2026, which represent approximately 27% of the total debt due in that year. The equity bridge loans of approximately $890 million were repaid in full with proceeds from the preferential offering on the 20th of January 2026. With that, I will now hand it on to Jason, who will walk you through our portfolio review.
Jason Chua: Thank you, Sebastian. Slide 14 shows Keppel REIT's portfolio breakdown as at 31st of December 2025 by geographical locations. Singapore remains Keppel REIT's largest market at 79.8%, while Australia, South Korea and Japan are at 17.2%, 2.3% and 0.7%, respectively. Keppel REIT's portfolio committed occupancy improved to 96.7% quarter-on-quarter, driven primarily by new leases secured for Ocean Financial Centre, Keppel Bay Tower, 255 George Street, Pinnacle Office Park and 8 Exhibition Street. We are pleased to share that in January 2026, Keppel REIT committed a new lease at 8 Exhibition Street with a tenant from the banking, insurance and financial services sector. The new tenant will occupy 5 floors at the Grade A commercial building backfilling space vacated by another tenant. Slide 15 provides a breakdown of our performance by geography. Driven by higher rentals, the attributable NPI of our Singapore portfolio increased by 2.9%. Supported by contribution from 255 George Street and higher occupancy at 2 Blue Street, the attributable NPI for our Australian portfolio increased by 6%, partially offset by a stronger Singapore dollar. Attributable NPI for our North Asia portfolio decreased 3.2%, mainly due to the stronger Singapore dollar. Proceeding to Slide 16. The majority of the leases committed in 2025 were for our Singapore properties. New leasing demand and expansions were primarily driven by tenants from the banking, insurance and financial services and technology, media and telecommunications sectors. We continue to maintain a well-spread lease expiry profile as shown on Slide 17. The weighted average signing rent for our Singapore CBD office leases in 2025 was $12.91 per square foot per month. By comparison, the average rent for the leases expiring in 2026 stands at $12.14, which is below both our signing rent and CBRE's fourth quarter 2025 average core CBD Grade A office rent of $12.30 per square foot. We have commenced discussions with tenants whose leases are due to expire this year and leasing demand continues to be healthy. Slide 18 highlights our well-established and diversified tenant base, comprising reputable blue-chip corporations and government agencies that contribute to the stability of our portfolio. The next 3 slides provides a summary of our portfolio valuations as at 31st of December. On Slide 19, valuation for our Singapore portfolio increased 25.2% as compared to 2024. Excluding the additional 1/3 interest in MBFC Tower 3, our Singapore portfolio valuation would have seen a 5.5% increase. The increase in valuations is mainly due to higher committed end market rents. Slide 20 shows our Australia portfolio Australian dollar valuations, which increased by 19.3%. In Singapore dollar terms, the increase in valuation was slightly lower at 15.2% due to a stronger Singapore dollar. Excluding the acquisition of Top Ryde, the Australia portfolio valuation remains relatively stable. Moving on to Slide 21. In local currency terms, valuation for T Tower in Seoul increased 2.2% and KR Ginza II in Tokyo increased 5.6%. The increases were largely due to the higher committed rents achieved in 2025. Due to the stronger Singapore dollar, our valuations for North Asia decreased by 3.5% in Singapore dollar terms. On an overall portfolio basis, we see a strong increase of 22.3% in our valuations. Excluding both the acquisitions of Top Ryde and the additional interest in MBFC Tower 3, we would have seen a valuation increase of 3.4%. Moving on, we are pleased to share the enhancement works done at 8 Exhibition Street. The end-of-trip facility was upgraded to a larger bespoke facility to meet tenant needs for more premium amenities, was launched in October last year for tenant use. Some ESG activities conducted in the last quarter of 2025 include festive event held at Keppel Bay Tower that supported children from Care Corner Singapore as well as building facade light up at Ocean Financial Centre in support of World Diabetes Day. We are pleased to announce that MBFC Tower 3 achieved the BCA Green Mark Platinum Super Low Energy, or SLE, certification in December last year. This marks a major sustainability milestone for the development, and it is our third Singapore asset to be granted this certification after Keppel Bay Tower and Ocean Financial Centre. Sustainability is integral to how we create and preserve long-term value. We continue to maintain our positions on ESG benchmarks and indices. Furthermore, we are extending our carbon reduction commitment this year from the existing target of a 50% reduction in Scope 1 and 2 emissions by 2030 to a new target of achieving net zero for Scope 1 and 2 emissions by 2050. At the asset level, our portfolio continued to uphold strong green credentials. As mentioned, MBFC Tower 3 achieved the BCA Green Mark Platinum SLE certification. SLE buildings feature the best-in-class energy efficiency, the use of on-site and off-site renewable energy and other intelligent energy management strategies. As at end 2025, all properties were Green certified, except for Top Ryde City, which was acquired on 19th of December. This is consistent with our long-standing commitment to operational excellence and environmental stewardship. I will now hand the time to Xuan Lin, who will go through the market.
Xuan Teo: Thank you, Jason. The next few slides highlight key trends across the markets where Keppel REIT operates. This slide shows the average rent for Singapore's core CBD Grade A office increasing by 0.8% quarter-on-quarter to $12.30 per square foot per month in the fourth quarter of 2025, while average occupancy increased to 95.5%. For the full year 2025, prime office rents increased by 2.9%, backed by resilient occupier demand and a tightening supply pipeline. In 2026, only one new office development is projected to be completed. Accordingly, across major property consultancies in Singapore, there is a clear consensus that CBD Grade A office rents will continue to rise, supported by the scarcity of supply, combined with sustained demand for quality office spaces. Latest projections by these consultancies indicate year-on-year CBD Grade A office rent growth of between 4% and 7% in 2026. In Australia, JLL reported that prime grade office occupancies increased for Sydney, Perth and Melbourne CBDs in the fourth quarter and declined marginally in Macquarie Park compared to the previous quarter. In North Sydney, there is a sharper occupancy decrease, primarily due to the recent completion of Victoria Cross Tower. Meanwhile, prime gross effective rent in Sydney CBD continued its upward trajectory, increasing from $1,067 per square meters per year in the third quarter to $1,084 per square meters per year in the fourth quarter, reflecting the resilient demand for quality office space. Looking at the Australia's retail market, we note that household spending, both discretionary and nondiscretionary had seen year-on-year increases from 2022 to 2024. Total household spending remained strong in November 2025, having a 6.3% increase year-on-year, continuing the strong rises in services and goods spending seen in the previous month. Data for December 2025 has not yet been released by the Australian Bureau of Statistics. In Seoul, market occupancy of CBD Grade A office was flat on a quarter-on-quarter basis. Notwithstanding the upward rent trajectory continues. JLL reported that the net effective rent for CBD Grade A office increased by about 1.4% quarter-on-quarter. In the Tokyo office market, JLL reported that Grade A office occupancy increased to 99.3%, while Grade B office occupancy increased to 98.5%. Net effective rents for Grade A offices increased 5.3% quarter-on-quarter and Grade B offices grew 3.7%, reflecting continued strong demand for office space in Tokyo. That concludes our presentation. Thank you.
Goh Lilian: Thank you, Xuan Lin. [Operator Instructions] There's the first question from Terence, JPMorgan.
M. Khi: Congrats on completing the acquisitions in December. I wanted to ask on what your priorities are for 2026. I understand that Marina One is reportedly in the market. Are you going to be looking at that, too?
Hsien Yang Chua: Okay. So I think that the first slide that we presented, we really talked about our focus for 2026. As I also mentioned in the past month, our focus is really to drive the organic growth, especially for 2026, given the very low supply and high demand in the Singapore market. And our Australian assets, we also want to continue to push for the best results that we can actually get. And of course, the other priority that we mentioned in the slides was also to reduce the borrowing cost. I also assured investors that I think that we have already done a fair bit of acquisitions. So we are not rushing to do any equity fundraising anything anytime soon. The first half, we really want to dedicate towards asset management. And of course, if the time is right, if we do find this attractive offers for some of our assets, one or more of our assets, we could look at strategic divestments as and when we see the window open. In terms of Marina One, we understand that is coming to the market. That is coming to the market in maybe the next 1 or 2 months. It is a very large asset. It's expected to cost between $5 billion to $6 billion. And -- I mean, just as a rough gauge, the agent is saying that of course, they will also take our MBFC Tower 3 transaction, taking that into consideration in terms of where the market price would be. So it will be at a market cap rate estimated at plus/minus 3-plus percent. So of course, the rentals in this particular building are lower than MBFC. So the -- obviously, the price per square foot is expected to be a bit lower. It is something that the whole market will look at. So obviously, we will take a look. But if you ask me, is it possible for us to take down this whole asset given that it's around $6 billion, I think it's going to be quite challenging.
M. Khi: Okay. That's great. And maybe if I could ask a little bit on the leasing since that's going to be the focus. I understand you said that you leased up 5 floors at 8 Exhibition. Can you share when the current tenant comes off and when does this replacement tenant kick in? And also on ANZ lease, I understand it is in the media that ANZ will be leaving OFC. Have you started to look at that lease?
Hsien Yang Chua: Okay. So there is -- okay, I won't be able to name specific tenants in 8 Exhibition. There has been a few you can read out that there's been speculation of who the tenant is. The tenant is -- there's one particular tenant that we have been talking about they'll be exiting the building towards end of this year. So they take up between 8 to 9 floors. And then this lease that we have actually signed is actually for 5 floors. But what I will be able to sort of give a rough guide is that outgoing and incoming rental is actually quite a big difference. The reversion that we're getting from this new tenant is around -- is the rate incoming rate is more than double that of the outgoing. So this new tenant will be coming into the building sometime next year. So there will be a bit of a gap. There will be a bit of a gap close to a year, but the rental is double or more than double actually.
M. Khi: Okay. Great. That sounds great. Maybe I'll join back.
Hsien Yang Chua: Okay. Hold on. I haven't finished. I haven't finished on 8 Exhibition, and I will talk that you mentioned the other tenant in Singapore, I will address that. So there is -- so we have also signed heads of terms with another tenant which wasn't covered in the slide. There is 3 floors also in the 8 Exhibition Street. Similarly, the rentals that we are targeting for that is also more than double of the exiting tenant. And that one also will be -- but that one is -- the start date for that talent will probably be sometime in 2028, probably in the first half of 2028. Okay? So they're moving to Singapore. So I will not be able to confirm which tenant is leaving, but I think that for Singapore, any tenant that gives us space back in our CBD assets, whether it's OFC, MBFC, ORQ and MBFC, we really don't mind, especially if they are full floor tenants. I think we have shared in the last 2 quarters that we have a lot of demand for full floors, especially in OFC. So if there is a tenant who leaves, there will definitely be a lot more demand for -- to lease the space at much higher rates. I'm not sure whether that specifically addresses but yes...
M. Khi: Sorry, just a clarification for the 2 tenants at Exhibition. So I understand you're saying end of '27 and probably first half '28. Is that inclusive of the tenant incentives already in terms of...
Hsien Yang Chua: No, that is the start date. The tenant incentives for these 2 tenants is around between 35% to 38%.
M. Khi: Okay. And the number that you quoted more than double is on a gross or net basis?
Hsien Yang Chua: Gross.
Goh Lilian: Thank you, Terence. Next, we have Dale.
Dale Lai: Sorry, I think Rachel was first, but I'll just proceed to answer. Okay. Anyway, I just wanted to ask with regards to valuations in Australia in local currency terms. I noticed that the North Sydney asset valuations came off a bit. Are you able to share more on that?
Hsien Yang Chua: So I think that our asset is doing well in North Sydney, but there is a general weakness in all the -- basically all the markets, except for the core CBD. So we have shared that the core CBD is very strong. Similarly, no increase in supply and a strong demand. So there's flight to quality trend that we're actually seeing in Sydney. So that's the reason why the -- because of the weakness, that's why the valuations for 2 Blue Street came down slightly.
Dale Lai: Okay. Okay. Got it. Got it. Okay. And just wanted to follow up. I think previously, we were talking about interest rate savings that will drive earnings going forward. How is this coming along? And how should we be expecting your overall interest rates for this year?
Hsien Yang Chua: So I think that we -- I think we have guided that we will see savings in interest costs, especially going into this year and also next year because -- but, of course, how the REITs actually hedge interest rates. So there are hedges that will need to come off. So that's why you have this [indiscernible] out effect. When the interest rates went up, very, very quickly. You saw that our K-REIT's interest rates remain relatively flat, went up quite slowly. And then we also keep much later than many of the other REITs. Similarly coming down, of course, it works that way. The other way also works against us. You will see it come down gradually. I'm not sure at this time whether we can give any guidance, but we will see interest rates coming off. As to that extent, I'm not sure [ Seb ] how much more color can you give.
Sebastian Song: Yes, they also -- so previously, I think in last quarter, we guided that our outlook for 2026 for cost of debt will be in the low 3% to 3.3%. So I think that has not changed. But I think one of the main levers that we are tapping on is to ride on the momentum of our refinancing exercise. So in last year, we have already achieved considerable savings on the margin front. So we're riding on that into our refinancing activities this year. So we had also carried out some early refinancing for debt that were originally due in 2026 that was done in December last year. So we also achieved the same margin savings for those refinancing exercises, and we will continue to look to ride on that this year.
Dale Lai: Okay. Okay. So just to clarify, this rate hike in -- by the RBA, it won't derail this low 3% target interest rates?
Sebastian Song: Not for the time being. So yes, so that was unfortunate that they hiked the rate. But I think it was a matter of time really, whether it was yesterday or it was -- it is to be at the next meeting. But yes, so what -- that aspect we cannot control, but what we can control is really to one of the levers, which I highlighted earlier, and that is to drive margin savings.
Goh Lilian: Thanks, Dave. Next Rachel. Apologies for that.
Lih Rui Tan: No race. Forget and let Dale go first. A few questions from me. I think, firstly, the 2 Blue Street rental guarantee, is it coming off in April 2026? And do you expect your occupancy to trend up further before the rental guarantee comes off?
Hsien Yang Chua: Okay. So yes, it does fall off in April. So this building, you can see the occupancy is around 92%, 93%. We are continuing to lease out the space. So when we -- so the building for now has actually performed better than underwriting for all the space that we have actually leased out. So actually, technically, we can potentially drop the rates a little bit for the remaining space, which is on the ground floor and the level below, and then we will still meet our underwriting numbers. So I think we are still holding out for higher rates. So there will be -- so if you look at the total because right now, it's whatever we are getting plus a top-up. So if we do not manage to lease out the space, there will be a slight drop in this particular building, but it's actually quite small. So I mentioned just now that there is some weakness in the North Sydney area. Our building is really one of the better performing ones. It's in fact, one of the best performing ones and this is a brand-new building. So if anything -- if anyone signs a lease, I think our building will be in the best position to actually secure our tenant, but it is a slower market that we are still trying to lease up this remaining space, which is why it's not so much about the rates, but it's really about the demand, and we are chasing this demand at the moment. So the ground floor space is fully fitted. So we are just waiting for the right tenant who like the space and then they can actually pick up this space.
Lih Rui Tan: So better than underwriting, which means actually now at 92%, you are same as your underwriting 100% occupancy kind of income levels, is it?
Hsien Yang Chua: Not -- almost there but not quite there, yes.
Lih Rui Tan: Okay. Okay. And the competition is Victoria Cross Tower, right? Could you -- what's like comparative to your Blue Street rents, what's your asking rents versus their rents? And what's the pre-committed levels at the Victoria Cross Tower?
Hsien Yang Chua: Victoria Cross, it's actually -- the vacancy is actually quite high. It's more than 20%. Yes. So it's actually quite high. Rental, the rental is around -- yes. A bit higher. I won't be able to specifically give you what they are asking for.
Lih Rui Tan: And then can I just follow up on the 8 Exhibition Street, the 2 new leases. In terms of income contribution, when should we expect income contribution to come through?
Hsien Yang Chua: So like I mentioned, 1 lease is kind of next year. The other lease is in the first half of 2028.
Lih Rui Tan: So when they move in, then we will get the inter commission. There will be rent free period in this offer.
Hsien Yang Chua: So that's part of the incentives. So each of them is a bit different, but then it will be amortized. So I think that -- so okay wait, I think just now, I also wanted to clarify the rental reversion. So we compared the rental reversion on a like-for-like. So the more than double rental reversion is comparing net to net and gross to gross. So it is -- so on a net basis, it is still more than double after incentives. So I think that this was something that Terence was asking just now, yes.
Lih Rui Tan: Okay. So on a net basis, rental reversions is also more than double.
Hsien Yang Chua: Correct.
Lih Rui Tan: Okay. Okay. And the lease signed, the number of years that after lease that they signed?
Hsien Yang Chua: The one that was just signed is a very long lease, it's very long. Yes.
Lih Rui Tan: 10 years or I don't know, 7 years?
Hsien Yang Chua: So yes, something like that. More than 7. I would not tell you how many years. More than 7, more than 8, okay?
Lih Rui Tan: Okay. Then the OFC lease vacancy that's coming up. Roughly when is the least coming up?
Hsien Yang Chua: Hold on there. October 2026, but they are talking to us. This tenant is talking to us potentially staying for another few moments. So we are still working on with them. It really depends on the new tenant that we can actually -- they actually want to come in. So we might not -- we might or might not give them an extension.
Lih Rui Tan: Okay. That's good. Good to know. Okay. Then my next question is in terms of your divestment do you think that it is now a good time to sell Korea or Japan office. I know last year you said they have very strong reversions. You want to write on that, but then do you think Korea and Japan is good to sell?
Hsien Yang Chua: So definitely, this year is a better time than last year. So -- but we are still seeing healthy rental reversions. I think that I've shared that we are looking at it very closely. So if we can get the correct price, will we sell it, yes, I think the answer is that we definitely would look at selling it.
Goh Lilian: Thanks, Rachel. Next, we have Terence from UBS.
Terence Lee: Can you please help us characterize the relationship with Hongkong Land going forward? I mean K-REIT used to be partners and now ostensibly competitors. I mean for now, they seem to want to grow their private equity AUM. So I'm just wondering, does it affect how you think about partnerships and potential stake sales. Like if you look in the past in K-REIT's history, OFC, there was a stake that was divested to Allianz? And in the current context, your valuations for Singapore office is indeed at a high. And maybe just a little bit of a follow-on to that is, do you also see future opportunity for acquisitions if and when they do decide on the private equity side to exit from their funds?
Hsien Yang Chua: So our relationship with Hongkong Land is still good. We are still partners in ORQ and MBFC's Tower 1 and 2. So in fact, we just had an ExCo meeting last week. So things are as per normal. It is -- I think that say what you like, we have always been partners and also yet competitors at the same time. Last time was Hongkong Land, us, Suntec. Now it is still basically these 3 except for Tower 3, our JV partner there is DBS. So nothing has really changed. Everyone, every company has their own aspirations. Every company has own strategy. So it's our strategy is -- although you look at, I mean, between Keppel, you look at Capital Light, you look at Hongkong Land, Mapletree, all of us have similar strategies. Suntec also has a similar strategy. Does that mean that the working relationship is not good? I don't think so. I think that all of us are professionals. We work well with each other. We are still -- we're working closely with them. So obviously, they have the aspirations they want to grow their portfolio. Any asset manager want to grow their portfolio. But how do you grow it? Where do you actually grow that one, I think it is a question that you can actually ask them. But even for us, right, are we expecting to just sit and do nothing, obviously, I don't think that is something that we are doing. So when we compete, we will compete, but it doesn't mean that we cannot work well together. I'm not sure whether that is your specific -- whether that sort of addresses what you are asking. But things are still working well. We still have the partnership in terms of managing the assets, and we are still working together to produce the best results for the assets that we co-own together with them.
Terence Lee: Got it. Got it. And on Marina One, the $5 billion to $6 billion ask is a big range. I think it's like a 17% delta. So let's say, if the closing price comes in towards the low end of that and let's say, you get a high 3% cap rate, how would you expect the valuers to factor this towards your valuations when the time comes?
Hsien Yang Chua: So it is not -- okay. So I think it's our speculation, right? So Singapore premium office cap rates have always been around the 3.5% mark. I don't know how the valuers will value this. Do they value this as premium? Do they value this as more of a grade A. But even then, the difference usually between prime -- between premium and Grade A, we are talking about maybe 20 bps difference, so between 3.5% to 3.7%. So logically, I would expect the cap rates to be around kind of price -- this kind of range. If it ever goes to -- your example is, say, high 3s, if you ask me, the only reason for that is because of this ticket size being so big, that basically a lot of the buyers have actually been priced out because they are not able to come out such a big quantum. But logically, it should not be at this kind of cap rate. And of course, just now what I mentioned to you between $5 billion to $6 billion is what is given by the agents because you have to look at the underlying NPI, you need to look at the cap rates, you need to look at the in-place rentals before you can determine what the fair market price would be. But I think just on -- specifically on the question, how the valuers will look, there is a difference between, say, NBFC and Marina One. Marina One, it is in the vicinity. But if you walk, you will understand. If you walk -- just try to walk to Marina One, it is a street away. It is quite a fairly long walk. The difference between the ORQ and the Marina One or MBFC versus Marina One, they walk into the buildings, the feeling is different. You walk MBFC, it's really -- it's a different feeling versus Marina One, you look out, you're looking at a swimming pool, you're looking at the swimming pool of the residential there. And the whole feel and ambience of the place is actually quite different. So I think it's a bit early to tell how the property will actually transact. But all I can say is that it is a bit different in -- from a quality perspective between our building and their building.
Terence Lee: Got it. And last one, quick one, just on ADS. Noticed that the valuation moved relatively little compared to -- I think Hsien Yang, you were alluding to the doubling of net rents. So just curious why it didn't have a more material positive influence on the valuations.
Hsien Yang Chua: That hasn't factored in the new leases because the lease was only recently signed and the other HOA was also just recently signed.
Goh Lilian: Thanks, Terence. Next, can we have Xuan?
Xuan Tan: First question is on acquisitions. Do you rule it out entirely for 2026? If not, what are the factors that you will consider? And specifically, can you comment on Keppel South Central?
Hsien Yang Chua: So sorry, do I -- the first question, again, do I...
Xuan Tan: Do you rule out acquisitions? I understand it's not a priority, but do you rule it out for 2026?
Hsien Yang Chua: Why would I want to rule out any acquisitions? Maybe that's maybe my question back to you. There's no need for me to rule out. All I say just now is that we are not actively looking at anything, especially for the first half. Second half, could we look at something? Of course, the answer is it's always possible, but are we going to do it? Without considering any divestments, the answer is probably not. I think if you want to buy something, as I have mentioned to a number of you, it's only logical for us to consider doing some divestments first before rushing to do more acquisitions. We are not rushing to do it, but there is no reason why it should come itself to stop work and not look at any investments. That's just not very, very logical from the way we look at things. So your question was -- the other one was on Keppel South Central, right? So I don't think there is any further update. What I mentioned to you is we have not commenced discussions with the sponsor for this asset. My understanding is that the occupancy is still not at a level that makes it interesting for us to start discussions with them at this point in time. So -- and of course, even if the occupancy level is at a level that's high enough for us to talk about, there's still a lot of things that we need to figure out. For example, what cap rate do you acquire that at, what's the price per square foot, what's the in-place rentals. There's a lot of things that we need to look at. But at this point in time, we haven't started even looking at it or considering even to talk to the sponsor about this asset.
Xuan Tan: Okay. Got it. Second question is around rent reversion. If I compare the gap between expiring and signing, it's around mid-single-digit reversion. Is that fair based on your current leasing discussions?
Hsien Yang Chua: So no. So I think that we have only just started the year, right? How are the rental rates going to go to this year, no one really knows. No one really knows. You are just comparing spot, but the market rentals can move quite quickly. So it is a bit too early to speculate where the rental reversions will be for this particular year. I think that like what I mentioned, we want as high a number as possible. So we will continue to work towards that. But what I can share is that there is continued demand in the market for especially quality and premium office space, and we are going to capitalize on that.
Xuan Tan: If I recall one, 2 briefings ago, you were guiding for double-digit reversion for 2026. Does that still stand?
Hsien Yang Chua: That is the aspiration of course.
Goh Lilian: Thanks, Xuan. Next, we have Donald?
Donald Chua: A couple of follow-up questions. Also back to acquisitions. How is the appetite for Australia retail right now, given that a lot of transactions in the market and demand is starting to really nicely picked up. And also to follow up on that is any color on your operational performance for Top Ryde in terms of leasing spreads and so on is the first question.
Hsien Yang Chua: So I think that it's not just Australia. I think Singapore also has -- we have seen a number of transactions being recorded both in Singapore and Australia. So there is also a lot more people look at retail. It is -- everyone sees the strong tailwinds in retail and people are chasing these deals. In Singapore, we have seen Clementi Mall transacted at quite a good cap rate. And of course, recently, we have seen Anchorpoint and White Sands come to market. In Australia, there are also a number of transactions happening, including Westfield Marion in Adelaide. This is owned by Cascadia in Singapore. So there's a few transactions. Like I said earlier, we -- of course, there's no reason why we shouldn't look, but the acquisitions is really not the priority for us, especially in the first half. We will take some time to digest what we've actually done first, and then we will focus really on asset management. Second half really depends on where we see ourselves and also dependent on divestments that we might be looking to do more if we can recycle some capital. So that remains unchanged. So notwithstanding what transactions happened in the market, I think that, that is something that we have said we will do, and this is something that we will keep to at least for the time being..
Donald Chua: Capital allocation will be.
Hsien Yang Chua: Sorry, yes, you mentioned capital allocation.
Donald Chua: Yes. I think previously, post the Top Ryde acquisition, you were talking about more than not 20% or something like that. That still holds?
Hsien Yang Chua: Yes. Yes. And I think that still holds. I don't think we are looking. But having said that, it's not like we want to go to 20%. It really depends. That is just like we just set ourselves like an upper limit, but we are happy to just own Top Ryde for now. And like I mentioned, we are not looking to just go out and continue buying. We do want to take this time to sort of reflect and also to focus on the management. And I think you were asking about Top Ryde, you will be able to see the contribution of this asset from first quarter onwards. We will not be able to share too much at this point in time. But I think based on the work that we have done so far together with our partners, definitely in line with underwriting, we are hoping to exceed our underwriting for this asset at least as expectation. And the demand continues to be very, very strong, especially for space in this particular retail mall. And then cap rate, maybe just a quick one, you didn't quite ask that, but I think we have -- we are starting to see a compression of cap rates, both in Singapore and Australia when it comes to retail assets.
Donald Chua: Got it. On the debt side, right, for your guidance of low 3% to 3.3% WACD, feels a bit slow in terms of the decline. I mean my question is, what is -- any color on the currency breakdown on the expiring debt for 2026 and 2027? Is it more Aussie?
Sebastian Song: '26 would be -- I would say -- okay, so we have a medium-term note, so that's in Sing. The remaining bank loans are split between Korean won and Aussie dollar. That's for 2026.
Donald Chua: So it's 50-50?
Sebastian Song: Yes.
Donald Chua: Okay. So 50% SG and 50% Aus and Korea.
Sebastian Song: Yes, that's right. I think maybe just one...
Donald Chua: Would that the reasonable reason why the paper is a little bit slower and it could come in more in 2027? What's the breakdown in 2027?
Sebastian Song: I think we need to get back to you separately on the breakdown for 2027. But yes, the reason why it is not going to taper as quickly as maybe expected is because we don't have that much Sing dollar debt. that is unhedged or floating. So -- and also the refinancing because it's only just that medium-term note that we have, which is currently about 3.72%. But whilst we think we could get a good rate when we refinance that closer to the end of the year, I don't think that will move the cost of debt significantly downwards, yes.
Donald Chua: And your floating, you say, is mostly offshore currency, is it?
Sebastian Song: My floating, yes.
Donald Chua: And it's mostly also Aussie, I would presume.
Sebastian Song: Aussie and won.
Donald Chua: Okay. Sorry, I don't want to harp on this, but last question. On the 8 Exhibition, can I confirm that your income contribution for your first tenant that is going to lease up 5 floors will only coming in 2027. And then the remaining 3 floors is 2028?
Sebastian Song: Correct.
Donald Chua: Okay. And that will be the whole building.
Hsien Yang Chua: No, no, this building has many, many floors. This is -- this -- we are only talking about 2 leases, yes.
Donald Chua: And that will be somewhat around -- sorry, can you remind me how many percent of GRI?
Hsien Yang Chua: So this whole building has 35 floors. It is a 35-storey building, yes.
Donald Chua: So proportionate. Okay. That's all for me.
Sebastian Song: Donald, just to get back to you with the breakdown of the loans for 2027. So for Sing dollar is about 60% of total debt due in 2027. Aussie is about 30% and the remainder is Japanese yen.
Goh Lilian: Next, can we have Vijay?
Vijay Natarajan: Just a couple of questions from me. Firstly, in terms of Singapore CBD office demand, can I get some color in terms of is this still driven by flight to quality? But with now the gap widening, do you see this flight to quality slowing down or even possibly reversing? Maybe also give some color in terms of new or expansion demand. Is this from new setup that is coming to Singapore?
Hsien Yang Chua: So it is -- I won't say it's all flight to quality. It's really a good mix of we have quite a lot of expansion. In OFC, we are seeing a lot of expansion at the moment. Our priority is if our tenants want to expand, we will give them space. And for OFC, one of the -- I won't mention who are the tenants, but the only reason why this tenant is leaving is because we can't give them additional space. They actually ask us for -- they have 2 floors, they ask us for one additional floor. We are not able to give it to them. And that's why they are actually leaving our building going to another building. So that's the only reason. In fact, I just caught up with them. They're actually quite sad to leave, but they just needed one extra floor that we're not able to give. So OFC, like I mentioned, it's mostly expansion. The new tenants that we are talking to are not flight to quality. They are all -- okay, the majority of them are new tenants altogether, some flight -- you can say flight to quality, they are moving from other buildings. And across ORQ and MBFC is a good mix. It's expansion, it is new tenants, it could be flight to quality. But it's not like what you say majority flight to quality, not quite there, yes.
Vijay Natarajan: Okay. Can you give some color on who took up the additional space in Keppel Bay Tower? I mean is this from an existing expansion? Or is this a new tenant in the same area?
Hsien Yang Chua: So these are new tenants.
Vijay Natarajan: Okay. Okay. My last question, would you consider share buyback as a strategy?
Hsien Yang Chua: Yes. I think we did mention that we didn't -- we stopped our share buyback program because our gearing is at a slightly more elevated level. But now that our gearing has come off, if we do do some divestments, that is share buyback is definitely something that we are looking or considering.
Vijay Natarajan: Okay. Only upon divestments?
Hsien Yang Chua: Yes, not now, yes, definitely not now. Once we have done some divestments, as and when we do it, we're look into it, yes.
Goh Lilian: Perhaps I think we're just in time for one last question from Derek.
Jian Hua Chang: Just a follow-up on Hsien Yang's comment on Singapore retail as potentially attractive. Would that include your sponsors, i12 more.
Hsien Yang Chua: Yes, we have -- we are not looking at it at this point in time. Yes. So I think that's all I can say. This asset, I think they have been doing repositioning and all that. I'm not sure of the latest, but that's not something that we have considered.
Jian Hua Chang: Yes, that's why -- yes, hence, why I just want to check because they've been doing it for quite some time already, yes. And for Sebas, I think I just want to ask on the tax expense this time around $9 million. Is all that from withholding tax in Australia and that's cash,right?
Sebastian Song: Yes. So part of it will be withholding tax. There is also a deferred tax component that we will provide for when there are valuation increases in Australia, Korea and Japan. So because there are capital gains tax regimes there, so we have to provide for some deferred tax or rather exit tax when there are valuation gains.
Jian Hua Chang: And the $9 million is all cash, right? It hits the DI.
Sebastian Song: No, no, no. The deferred tax component is noncash. So that will only be realized when there is an actual exit or divestment. So the remainder will be withholding tax that is actually paid in cash.
Jian Hua Chang: How much of it is withholding?
Sebastian Song: How much of it is withholding? Sorry, Derek, can I get back to you on this one?
Jian Hua Chang: Yes.
Goh Lilian: Thanks, Derek. I see that, Terence -- please go ahead.
M. Khi: Sorry, just a quick question for me. I want to ask on how is the tax transparency for T3? And when should we expect that to come in?
Hsien Yang Chua: We have started work on this one already. We are doing the documentation. So I think the last time we mentioned it should take around 6 months. So that's the estimated time frame at this point.
M. Khi: Okay. That's good. And also for the new borrowings for MBFC Tower 3 and the acquisition side, what were the loan rates that you secured for the T3 acquisition?
Hsien Yang Chua: So actually, when we bought Tower 3, there was already debt in place, which is locked in. Our own debt, we only took a very, very small loan. That one we borrowed at mid-double digits, plus/minus a bit.
M. Khi: And the all-in cost?
Hsien Yang Chua: Under 3%.
Sebastian Song: Maybe just to get back to Derek, Morgan Stanley's question. So for the income tax for the year, that's $13.7 million. About $9 million was withholding tax being cash.
Goh Lilian: Derek, you still have your hand raised. I believe you're okay, right? Thanks, Derek. Thank you, everyone. We've come to the end of the call today. Thanks for joining us.
Hsien Yang Chua: Thank you.
Sebastian Song: Thank you.